Operator: Good morning, and welcome to the Ryder System First Quarter 2025 Earnings Release Conference Call. Today's call is being recorded. [Operator Instructions] I would now like to introduce Ms. Calene Candela, Vice President, Investor Relations for Ryder. Ms. Candela, you may begin.
Calene Candela: Thank you. Good morning, and welcome to Ryder's First Quarter 2025 Earnings Conference Call. I'd like to remind you that during this presentation, you'll hear some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political, and regulatory factors. More detailed information about these factors and a reconciliation of each non-GAAP financial measure to the nearest GAAP measure is contained in this morning's earnings release, earnings call presentation and in Ryder's filings with the Securities and Exchange Commission, which are available on Ryder's website. Presenting on today's call are Robert Sanchez, Chairman and Chief Executive Officer; John Diez, President and Chief Operating Officer; and Cristy Gallo-Aquino, Executive Vice President and Chief Financial Officer. Additionally, Tom Havens, President of Fleet Management Solutions, and Steve Sensing, President of Supply Chain Solutions and Dedicated Transportation Solutions, are on the call today and available for questions following the presentation. At this time, I'll turn the call over to Robert.
Robert Sanchez: Good morning, everyone, and thanks for joining us. I'm proud of our team for delivering double-digit earnings growth during the first quarter, in line with our forecast. The business continues to outperform prior cycles driven by our high-quality contractual portfolio and reflecting the actions we've taken under our balanced growth strategy to de-risk the business, increase the return profile, and accelerate growth in our asset-light SCS and DTS businesses. I'll begin today's call by providing you with a strategic update. Christyne McGarvey will then take you through our first quarter results, and John Diez will review capital expenditures and our increasing capital deployment capacity. I'll then review our updated outlook for 2025 and discuss how we expect to leverage the momentum of our transformed business model. Let's begin on slide four. Turning to slide four, our transformed business model and execution of our balanced growth strategy continue to drive earnings growth. We remain on track to realize the benefits from our strategic initiatives, outlined during our February earnings call. These benefits are the key driver of the year-over-year earnings growth we are expecting. Long-term secular trends that favor transportation and logistics outsourcing remain strong. The value that our solutions bring to our customers remains compelling, even more so during times of increasing complexity. By leveraging our operational expertise and innovative technology, we are well-positioned to support our customers and prospects as they navigate changes to their supply chains and transportation networks. We generated ROE of 17% for the trailing twelve-month period, which is in line with our expectations for an extended freight cycle downturn and continues to demonstrate the resilience of our transformed business model. Earnings growth in our contractual businesses reflects the value proposition and pricing discipline embedded in our high-quality contractual portfolio. We expect our transformed and cycle-tested business model to continue to outperform prior cycles. In addition to increasing the return profile of our business, the earnings power of our contractual portfolio continues to provide us with increased capital deployment capacity, which we expect to use to support profitable growth and return capital to shareholders. During the quarter, we returned $202 million to shareholders by repurchasing 1.1 million shares and paying our quarterly dividend. Since 2021, we have repurchased approximately 20% of our shares outstanding and increased our dividend approximately 40%. We increased our 2025 forecast for free cash flow to a range of $375 to $475 million, primarily due to lower expected capital spending. Slide five illustrates how key financial and operating metrics have improved since 2018, reflecting the execution of our strategy. In 2018, prior to the implementation of our balanced growth strategy, the majority of our $8.4 billion of revenue was from FMS. Ryder System, Inc. generated comparable earnings per share of $5.95 and an ROE of 13%. Operating cash flow was $1.7 billion. This was during peak freight cycle conditions. Now let's look at what we're expecting from Ryder System, Inc. today. In 2025, a year in which freight market conditions are expected to remain near trough levels, our transformed business model is expected to generate meaningfully higher earnings and returns than it did during the 2018 peak. Through organic growth, strategic acquisitions, and innovative technology, we have shifted our revenue mix towards supply chain and dedicated, with 60% of 2025 revenue expected to come from these asset-light businesses compared to 44% in 2018. As a reminder, 93% of our revenue is generated in the US. 2025 comparable and more than double 2018 comparable EPS of $5.95. ROE is expected to be 16.5% to 17.5%, up from the 13% generated during the prior cycle peak. As a result of profitable growth in our contractual lease, dedicated, and supply chain businesses, operating cash flow is expected to increase to $2.5 billion, up approximately 50% from 2018. As shown here, in 2025, the business is expected to continue to outperform prior cycles even when comparing prior peak to the current market conditions. We're proud of the strong performance of our transformed business model and believe that executing on our balanced growth strategy will continue to deliver higher highs and higher lows over the cycle. I'll now turn the call over to Christyne McGarvey to review our first quarter performance.
Christyne McGarvey: Thanks, Robert. Total company results for the first quarter are on page six. Operating revenue of $2.6 billion in the first quarter, up 2% from the prior year, primarily reflects the prior year acquisition and contractual revenue growth in supply chain and SMS, partially offset by lower rental. Comparable earnings per share from continuing operations were $2.46 in the first quarter, up from $2.14 the prior year. The increase reflects higher contractual earnings in all segments, partially offset by weaker market conditions in rental and used vehicle sales. Return on equity, our primary financial metric, was 17%, as Robert previously mentioned. Free cash flow increased to positive $259 million from $13 million in the prior year, reflecting lower capital expenditures. Turning to fleet management results on page seven. Fleet Management Solutions operating revenue increased 1% due to higher choice lease revenue, partially offset by lower rental demand. Choice lease revenue grew 3%. Pretax earnings in fleet management were $94 million, down year over year as higher Choice Lease performance driven by pricing and maintenance cost savings initiatives was offset by lower rental demand and used vehicle gains. Rental utilization on the power fleet was 66%, in line with the prior year. The rental fleet declined 3% year over year. Rental results for the quarter continue to reflect market conditions that remain weak, and the sequential decline in rental demand was below historical trends. Our fleet pricing was up 2%. Fleet management EBT as a percent of operating revenue was 7.5% in the first quarter, below our long-term target of low teens over the cycle. Page eight highlights used vehicle sales results for the quarter. Year over year, used tractor proceeds declined 16%, and used truck proceeds declined 17%. On a sequential basis, proceeds for tractors decreased 7%, and proceeds for trucks decreased 8%. These single-digit sequential declines were in line with our expectations. The sequential decline in tractor pricing reflects the sale of aged inventory in the quarter. Excluding this activity, tractor pricing was up 3% sequentially, primarily driven by sleeper tractors. We expect sales of aged inventory to continue in the second quarter as we manage through our inventory levels. We were encouraged to see pricing on sleeper tractors increase sequentially. During the quarter, we sold 5,100 used vehicles, up sequentially and down from the prior year. Used vehicle inventory increased to 9,500 vehicles and was slightly above our targeted inventory range. Although used vehicle pricing declined, proceeds remain above residual value estimates used for depreciation purposes. Slide nineteen in the appendix provides historical sales proceeds and current residual value estimates for used tractors and trucks for your information. Turning to supply chain on page nine, operating revenue increased 3% driven by new business and higher customer volumes. Supply chain earnings increased 35% from the prior year, primarily reflecting improved operating performance from strategic initiatives and new business. Supply chain EBT as a percent of operating revenue was 8.7% in the quarter, in line with the segment's long-term target of high single digits. Moving to Dedicated on page ten, operating revenue increased 8%, reflecting the prior year acquisition completed in February of 2024. Dedicated EBT increased 50% year over year, reflecting acquisition synergies as well as prior year integration costs. DTS results also continued to benefit from strong performance, reflecting pricing discipline as well as favorable market conditions for recruiting and retaining professional drivers. Dedicated EBT as a percent of operating revenue was 5.9% in the quarter, below the segment's long-term high single-digit target. I'll now turn the call over to John Diez to review capital spending and capital deployment capacity.
John Diez: Turning to slide eleven, first quarter lease capital spending of $413 million was below the prior year, reflecting lower lease sales activity. Rental capital spending of $78 million was in line with the prior year. For the full year 2025, this spending is expected to be $2.1 billion, reflecting replacement activity. We expect the size of the lease fleet to remain fairly constant throughout the year. Rental capital spending is now expected to be $300 million, down from approximately $400 million in our prior forecast, reflecting our revised outlook. Our ending rental fleet is expected to decrease 9% during 2025, and our average rental fleet is expected to be down 4%. The rental fleet remains well below peak levels as we manage through an extended market downturn. In rental, we've continued to shift capital spending to trucks versus tractors. At year-end 2024, trucks represented approximately 60% of our rental fleet. Our full-year 2025 capital expenditures forecast of approximately $2.6 billion is in line with the prior year. We expect approximately $500 million in proceeds from the sale of used vehicles in 2025. Full-year 2025 net capital expenditures are expected to be approximately $2.1 billion. Turning to page twelve, in addition to increasing the earnings and return profile of the business, our transformed contractual portfolio is also generating significant operating cash flow. Improving the overall cash generation profile of the business is one of the essential elements of our balanced growth strategy. Better earnings performance is driving higher cash flow generation and, in turn, is deleveraging our balance sheet at a more rapid pace. This momentum is creating incremental debt capacity given our target leverage range of between 2.5 to 3 times. As shown on the slide, over a three-year period, we expect to generate approximately $10 billion from operating cash flow and used vehicle sales proceeds. This creates approximately $3.5 billion of incremental debt capacity, resulting in $13.5 billion available for capital deployment. Over the same three-year period, we estimate approximately $9 billion will be deployed for the replacement of lease and rental vehicles and for dividends, leaving around $4 billion of capital available for flexible deployment to support growth and return capital to shareholders. We estimate about half of this capacity will be used for growth CapEx, and the remaining will be available for discretionary share repurchases, strategic acquisitions, and investments. Our capital allocation priorities remain unchanged and are focused on supporting our strategy to drive long-term profitable growth and return capital to shareholders. Our top priority is to invest in organic growth. We've taken a balanced approach to investing and, since 2021, have invested approximately $1.1 billion in strategic acquisitions and have deployed approximately $1.1 billion for discretionary share repurchases, reducing our share count by 20%. Our balance sheet remains strong with leverage of 2.59% at quarter-end, at the lower end of our target range, and continues to provide ample capacity to fund our capital allocation priorities. With that, I'll turn the call back over to Robert to discuss our outlook.
Robert Sanchez: Turning to our outlook on page thirteen, our full-year 2025 comparable EPS forecast is updated to a range of $12.85 to $13.60, above the prior year of $12, as higher contractual earnings and the benefits from our strategic initiatives offset the impact from market conditions in rental and used vehicle sales. Our updated forecast reflects a more muted macroeconomic environment than our prior forecast, which is expected to primarily impact rental demand. Class eight production in the US is now expected to be down 20%, whereas our initial forecast expected it to be up 1%. Our second quarter comparable EPS forecast range is $3 to $3.25 versus the prior year of $3 and assumes weaker rental demand. Our 2025 ROE forecast range is revised to 16.5% to 17.5% from 17% to 18%, reflecting our updated outlook. The revised range remains in line with our expectations given current market conditions. The extended freight downturn and economic uncertainty continue to cause some customers and prospects in lease, dedicated, and supply chain to delay decisions or downsize their fleets. These near-term contractual sales headwinds are consistent with current market conditions. We remain confident in the long-term secular growth trends for all our businesses and in the value our solutions bring to our customers. We remain focused on our initiatives and are confident that our transformed business model is capable of performing across a range of business environments. Turning to page fourteen, a key driver of expected earnings growth in 2025 is incremental benefits from multiyear strategic initiatives that are well underway and related to our contractual lease, dedicated, and supply chain businesses. We have good visibility to these initiatives. They represent structural changes we're making to the business and are not dependent on a cycle upturn. Upon completion, we expect these initiatives to generate annual pretax earnings benefits of approximately $150 million, which will be a key component to achieving our long-term ROE target of low twenties over the cycle. In FMS, we expect to realize an incremental annual benefit of approximately $20 million in 2025 from our lease pricing initiative. This results in a total $125 million benefit relative to our 2018 run rate, reflecting portfolio pricing under the new model. We expect $50 million in benefits from the multiyear maintenance cost savings initiative announced in mid-2024. In DTS, we expect to realize $40 to $60 million in annual synergies from the Cardinal acquisition at full implementation. The majority of these synergies are related to maintenance efficiencies and replacing third-party operating leases with the benefits of Ryder System, Inc. ownership and asset management. In SCS, we are focused on optimizing our omnichannel retail warehouse network through continuous improvement efforts, driving operational efficiencies, and better aligning our footprint with the demand environment. Since the second half of 2024, we have seen improved productivity in this vertical as a result of these actions and expect incremental benefits going forward. By 2025, we expect to realize benefits of approximately $100 million from these collective initiatives. Approximately $70 million of these benefits are incremental to 2024. In addition to continuing to increase the return profile of our contractual businesses, we are also focused on ensuring the business is well-positioned to benefit from the cycle upturn. As such, we expect an annual pretax earnings benefit of approximately $200 million by the next cycle peak and expect to begin realizing these benefits after 2025. Although the majority of our revenue is supported by long-term contracts that generate relatively stable and predictable operating cash flows over the cycle, each business segment has meaningful opportunity to benefit from the cycle upturn. We expect the majority of the $200 million benefit to come from the cyclical recovery of rental and used vehicle sales in FMS. In dedicated, improved driver availability and lower recruiting and turnover costs are benefiting earnings but have been a headwind for sales and revenue growth. As freight capacity tightens and driver availability becomes more challenging, we expect to see incremental sales opportunities and improved revenue growth in DTS as private fleets seek solutions to address this pain point. In supply chain, weaker volumes in our omnichannel retail vertical have been a headwind to revenue and earnings. We expect supply chain results to benefit as volumes for these services recover and our optimized warehouse footprint is leveraged. We've been pleased by the business's resilience and performance during the extended freight downturn and are confident each of our three business segments is appropriately positioned to benefit from the cycle upturn. Turning to page fifteen, our transformed business model continues to deliver value to our customers and shareholders. We continue to outperform prior cycles, and our results are benefiting from consistent execution and the strength of our contractual portfolio. We continue to see significant opportunity for profitable growth supported by secular trends, our operational expertise, and ongoing momentum from multiyear strategic initiatives. We remain committed to investing in product speed, capabilities, and technologies that will deliver value to our customers and our shareholders. That concludes our prepared remarks. Please note that we expect to file our 10-Q later today. At this time, I'll turn it over to the operator to open the call for questions.
Operator: To allow your signal to reach our equipment. Again, press star one to ask a question. We'll go first to Jordan Alliger with Goldman Sachs.
Jordan Alliger: Yeah. Hi. Good morning. Just a couple of things. One, can you maybe talk a little bit more about the used vehicle market, sort of your thoughts around how that could shake out? Maybe more in the context of what are the puts and takes in terms of how that develops in terms of support or lack thereof for the used truck markets through the year. And then secondly, can you talk about when you do one of your leases in FMS, you know, the six I think they're six-year deals. What are you taking into consideration when you set up pricing? You know, so once the new pricing initiatives run off, are you guys targeting a return on that contract over the six years of margin? Just get some clarity on that. Thank you.
Robert Sanchez: Okay. Thanks, Jordan. First, around UBS, I guess, the simple way to put it is, well, we're seeing in UBS is consistently originally expected when we gave our forecast at the beginning of the year. You know, we're seeing it was down. You saw that we reported was down single-digit sequentially. But a lot of that was really due to the fact we were selling some aged inventory. If you exclude that, we're actually up, specifically on tractors, which is really the area that I think we're most closely watching. We expect to still be selling some aged inventory in but then as we get into the second half of the year, we expect that to move much more to retail. But we are seeing the we've been talking about the last several quarters, we've been seeing used truck pricing sort of bump it along the bottom, especially around tractors, trucks still coming down some more. I think with the drop in new tractor production for this year, the drop in the estimate, that should be beneficial for used trucks as you got less supply coming into the market and therefore gives us a chance to finish working through as a market finish working through the inventories that are out there. But let me hand it over to Tom Havens so he can give you a little bit more color. Alright. I think Robert hit most of it, and Christyne McGarvey mentioned it in her opening comments, but here in the first quarter, we did do some wholesaling of some aged inventory. And we're expecting to continue that a little bit here in the second quarter.
Tom Havens: When you get to the second half of the year, we don't expect that to continue, which will kind of naturally increase the price per unit going forward. When you strip all of that out and just look at the underlying trends, the pricing in retail is flattish. As you go through the different classes, we mentioned that sleeper pricing was actually up, which was a good sign. Additionally, I'll just mention a couple of comments about the inventory trends. Although the inventory is up year over year, it's the inventory is flipped from tractors to trucks, so tractor inventory is down quite a bit. Almost 1,700 units. That's offset by truck inventory going up. We like that better. The tractor inventory is historically more difficult to work through. And we feel that the tractor inventory is in line and very manageable. And the elevated truck inventory historically, we've been able to work through that. So we feel pretty good about those inventory trends and what that'll mean in the future as well. I'll try to answer your second question on how we price lease deals, but we target a basis point spread versus our WACC. And we look for a target that's between 100 and 150 bps spread from our WACC, and we've seen that here now for a number of years in that targeted range, and we continue to see that spread here in the first quarter. We certainly expect that to continue.
Robert Sanchez: Yeah. And I think your comment your question was also about as the initiatives I guess the pricing initiative catches the tail. The other thing to remember is that Tom also has a maintenance optimization maintenance cost initiative, which he's continuing him and his team are continuing to execute on. So that'll still work through the next couple of years. And as you know, I would assume as those roll off, we'll look for another set of initiatives to go after. But, yeah, the goal is to continue to target the 100 to 150 base point spread. Continuing to look for initiatives to improve returns over time.
Jordan Alliger: Thank you.
Tom Havens: Thank you, Jordan.
Operator: If you find that your question has been answered, you may remove yourself from the queue by pressing the star key followed by the digit two. We'll go next to Christyne McGarvey with Morgan Stanley.
Christyne McGarvey: Good morning. Thanks for taking my question. I think you guys did a really nice job sort of outlining the kind of upside potential here as Ryder System, Inc. really has transformed to a new company. But maybe as I think about giving some of the macro visibility being quite limited, it's obviously a much different company than we were any time we had an outright consumer recession. So if you can talk a little bit about that kind of scenario, what sort of macro assumptions are in the low end of the guide currently and if we do seem to talk ourselves into a recession here what the earnings profile might look like.
Robert Sanchez: Yeah. Great question, Christyne. Listen. I think first of all, the outlook that we have is reflecting really a more muted economic environment, primarily due to the market uncertainty that we're seeing. On the top end of the range, it's really driven by lower expected rental demand. We're just seeing rental softer in Q2. We're assuming that creates a new baseline going forward. Used vehicle sales, we think is in line with our prior guidance, and we're assuming that continues. So it's really I would say the top end of our range is really a reflection of what we're seeing today in the marketplace as we sit here in April. The low end of that range would assume further deterioration in the transactional businesses, really around our rental and used vehicle sales as we get into the second half of the year. But again, as you can see, even on the low end of the range, we still expecting earnings growth year over year. And we feel really good about that. And I think that's really to your earlier point of how different Ryder System, Inc. is today versus where it's been at other times. Lot less dependent on the transactional rental and used truck market to hit our earnings numbers, and it shows the stability and resilience of the contractual business. You look at our supply chain earnings are up 35%. Dedicated earnings are up 50%. Granted, there's some acquisition in there. Even FMS lease margins are up also. So the contractual businesses even in this uncertain period continue to provide earnings growth. And again, not to forget all the initiatives that we're working. We're talking about $70 million of initiatives that we have this year. Are really the drivers of the earnings growth. So we feel really good about our ability to execute on those. We team executed really well in the first quarter and expect that to continue through the balance of the year.
Christyne McGarvey: Appreciate the color. Thank you.
Robert Sanchez: Thank you.
Operator: We'll go next to Jeff Kauffman with Vertical Research Partners.
Jeff Kauffman: Thank you very much, and good morning, and congratulations in the tough environment. I wanted to ask maybe a question and a half here if I could. In terms of some of the things you look at, so for instance, canary in the coal mine type stuff, rental fleet utilization, miles driven, accessorial charges, things like that. What's the canary telling you? In terms of some of those early demand early utilization cycles, and then just a follow-up on cash flow if I can.
Robert Sanchez: Okay. I'll let John Diez give you some color on the stuff we're seeing.
John Diez: Yeah. Jeff, for us, the number one indicator has always been rental. And if you look at rental, we did see softer conditions as we exited the first quarter and into the month of April than what we had anticipated. What I will say that's unique within that though, is if you look at the re of the tractor class, and that asset that tractor class, especially around sleepers, we have seen some early signs as we finished the quarter and started the second quarter of capacity coming out of the market, and stabilization around over-the-road tractor activity. That is also supported if you look at our lease miles on tractors throughout year over year on a per unit basis, which supports that. And then when you look at our used vehicle sales activity, we talked about the wholesale activity that Tom Havens mentioned, but if you extract that from the results, you're looking at year-over-year improvement or sequential improvements, I should say, in our tractor pricing on the used vehicle side. So I would say, look, overall, I think it's a pretty muted environment. A wait-and-see environment by our customers. But if you're looking for some early activity, I would say on the sleeper and tractor classes, especially the sleeper class, we're seeing some positive momentum there. We hadn't seen for some time.
Jeff Kauffman: Okay. Thank you, and thank you for the clarity on the used vehicle pricing differences because that didn't seem to match the markets either at first glance. Lastly, thank you for the updated cash flow guidance. And I was just kinda wondering, you talked a little bit about share buyback, you talked a little bit about dividend. Not any real discussion on M&A, and you're kind of anniversaring the M&A transactions of a year or two ago. I would think an uncertain environment and weaker demand might present an interesting opportunity on some of the M&A front. Can you talk a little bit about what would be on the wish list in terms of potential opportunities there?
Robert Sanchez: Yeah. You know, you're right. It should be a good time to find if we find the right company, we are always in the market. We're looking. We're looking for companies where we can maybe bring some new capabilities, new verticals, if you will, into supply chain. Anything that we could do around another type of Cardinal dedicated opportunity, we would certainly be interested in. And then, obviously, any tuck-ins in our lease business. That's really the three types of companies we look for. We want well-run companies that have a culture that could match well with Ryder System, Inc. So we are out looking. We're gonna pull the trigger when we find the right ones. And that's really what right now that's we would hope for. At some point, we'll find another good one, and we'll bring it in. But, you know, the good news is that our long-term targets are generally not dependent on a whole lot of acquisitions. I mean, on the supply chain side, probably the close the gap on some of that double-digit growth, we wouldn't want something. But, generally, the earnings and return profile are not completely dependent on acquisitions.
Jeff Kauffman: Okay. Thank you very much.
Robert Sanchez: Thanks, Jeff.
Operator: We'll go next to Scott Group with Wolfe Research.
Scott Group: Hey. Thanks. Good morning. So I wanna start on supply chain. You know, historically, there's a lot of auto exposure there. You talk a lot about now. Omnichannel. I guess, those end markets seem to be somewhat in the crosshairs of tariffs. I'm guessing just what you're seeing from end market perspective there and what sort of potential risk you see as with tariff or we're not thinking about the business. Right? And maybe it's more insulated.
Robert Sanchez: Yeah. I'll let Steve Sensing give you some more background on that, but I'll start by telling you, remember, auto the vast majority of the auto work we're doing are with US assembly plants. So we've actually seen relatively stable activity there with several customers really looking more closely at bringing more production into the US, which would be, I think, a positive on that end. The omnichannel, you got some crosscurrents. I'll let Steve give you a little bit of color on what we're seeing there.
Steve Sensing: Yes, Scott. And as Robert said, if you think about our auto business, I think we've got a real diverse set of OEMs that we support, you know, primarily inbound and manufacture. So and the majority of those cars are sold in the US. So we see kinda like very little impact there. CPG, same thing. Manufacturing here in the US, for US consumption, so little to no impact there. I'd say that, you know, the area that we're watching right now is the omnichannel piece, certainly from across our transactional business. Majority of those customers have options in countries that they produce in. So we're working closely with those customers. So I think that kinda gives you a good summary of it. Yeah. The cross currents there are really around the ones that are the ones that are shipping from China, you're seeing a slowdown there, but the ones that are shipping from other countries, we're seeing it maybe a pull forward or an acceleration there. So again, that's kind of the color across the verticals. But in general, I'd say the majority of the work that we're doing in supply chain is really not seeing a big impact at this point.
Scott Group: Okay. That's helpful. And then just things just wanna clarify. On the residual chart on slide nineteen, just any way to frame, like, how much more cushion you have on the bottom end of that chart? And then anything in a weaker class eight market are you seeing opportunities in terms of saving on new truck pricing or maybe not because of tariff? I don't know. And but any color would be helpful. Thank you.
Robert Sanchez: I'll let Christyne McGarvey answer the question on the residuals.
Christyne McGarvey: Yeah. Hi, Scott. So what we're seeing is we would need another 5% drop in pricing levels from where they are today in the first quarter in order to get down to the bottom end of our residual estimates. We still have room in our forecast. You know, we talked about how tractor pricing is looking favorable sequentially. So we are expecting that to rise over the next couple of quarters here. So we're not concerned over what's happening there.
Robert Sanchez: And I guess to answer your question on new vehicle costs, new vehicle pricing, we as you know, we buy directly from the OEs. In this environment, maybe a little bit of opportunity, but generally our pricing with them is relatively stable. I would also add that given the talk of tariffs, we kinda see right now our exposure the way things start today, our exposure is relatively limited and I would say minimal. On the new vehicle side. The majority of the vehicles that we're purchasing are USMCA compliant all the vehicles that we purchased are USMCA compliant. Therefore, as long as that agreement or some version of that agreement remains in place, I would expect that the pricing impact on the new vehicles would be minimal. And whatever that pricing impact is, we would certainly pass through to customers as part of our leases. So that's generally what we're seeing around parts. We're seeing a small increase, but, again, very limited. Again, based on the parts that we buy and the place of origin of those parts.
Scott Group: Very helpful. Thank you, guys.
Robert Sanchez: Thank you, Scott.
Operator: We'll go next to Daniel Imbro with Stevens Inc.
Daniel Imbro: Hey, guys. This is Reid C on for Daniel. I kinda wanna stay on the subject of supply chain solutions. One of your bigger segments is the distribution management where you do a lot of warehousing. I think we've heard a lot more activity in this space recently. Are y'all seeing the same? And if you could extrapolate kinda what you're seeing there into maybe some demand later in the truckload market, just any takeaways there would be much appreciated.
Robert Sanchez: Alright. Let me hand that over to Steve Sensing. Yeah. I think you as you think about the warehousing side of the business, you know, we've seen in the quarter, we've seen volumes increase in CPG and in omnichannel. Primarily our legacy retail business. So I think, you know, we haven't seen any decline there. You know, at that point. Demand, if you think about the pipeline right now, our pipeline is let's say, relatively flat year over year and sequentially. Still, you know, still healthy, and we're seeing those opportunities come through in the warehousing side.
Reid C: Thank you. And if I could just follow-up real quick on the dedicated side. We've heard from a lot of peers that this remains pretty competitive. If you could just provide some color on how pricing there is, maybe how the pipeline's shaping up, and maybe any business ones that you've been able to pull off versus losses.
Steve Sensing: Yeah. I'd say kind of same thing for the pipeline activity in dedicated relatively flat as you look at it. Decisions are still being delayed, you know, now six to nine months. In both portfolios. And as you highlighted there in the end, we have seen some lost business primarily in our non-specialized dedicated customer base. Where customers continue to go after price and trade price for cost. So they're really looking at the, you know, at the spot market. And then we're also seeing some of those customers with fleet reductions and network changes. So they're helping in some situations where our customers are also optimizing their networks. As far as price, you know, we're seeing price discipline on these deals, and continue to see opportunities.
Robert Sanchez: And I just got to that. I remember the dedicated segment that we operate is a specialized dedicated. So I'd say, you know, maybe we hear from other companies is around the more traditional you know, dry van dedicated where it could be more easily traded for truckload. So not that we don't have any of that because we have some of it, but I think the more specialized dedicated to you may be have got just a different pricing dynamic there.
Reid C: Got it. Thank you for the color, guys.
Steve Sensing: Thank you.
Operator: We'll go next to Brian Ossenbeck with JPMorgan.
Brian Ossenbeck: Hey. Good morning. Thanks for taking the question. Just start with the quick follow-up. You mentioned, I think, Christyne McGarvey, you mentioned the 5% decline. You get to low end of that residual range. Guess, can you walk us through what would happen if that say happened next quarter? Would there be immediate adjustments, or does that have to stay you know, below that range for a period of time before you make an adjustment? Like, what are the biggest implications and sort of next steps if we do see another leg down there?
Christyne McGarvey: Yeah. Hey, Brian. So no. I mean, we are monitoring it closely. Obviously, we mentioned how our forecast right now is where it is, and it includes some of this impact of wholesaling because we're trying to get through the aged inventory. Which we're expecting to continue through the second quarter. And from then forward, we are expecting pricing to come back up just based on market trends that we're seeing, based on, you know, what we saw excluding this aged inventory as well as inputs that we get from other, you know, third parties that are seeing similar trends. But putting that aside, we do look at it. I mean, if there were to be a decline in the you know, in the in the near future down to that 5%, anything that's sitting at our used truck centers would have a, you know, incremental charge associated with it. However, in our guidance for the year, we have a low end and a high end, and we did say that the low end would cover any potential downside, and we think we're more than covered by anything that could happen. But again, what we're seeing is more positive, and we don't think that any of it would be sustained at this level. And that's really the key. We gotta make sure, you know, we make sure that it's just current phenomenon, and that's something that may extend over a long period of time.
Robert Sanchez: Yeah. And I mean, as a reminder, you can see it on the chart. That bottom end is at the low end of where the market has gone only twice in the last 26 years. So and it went for one quarter. So I think that's kind of another point there. But the fact that you got that historical perspective, and we're seeing tractor pricing beginning to move up. Especially for sleepers. But even on the day cabs, kind of on a retail basis, generally flat. I think that's a pretty good indicator of where things are. But again, we think we're well-positioned for that.
Brian Ossenbeck: Okay. Got it. Then just another question on just the EPA standards, excuse me, on 2027 and some of the other ones. More broadly. I know you said it's not necessarily a material impact for Ryder System, Inc., but we are hearing signs that, you know, people are cutting their CapEx rather or not really doing much of a prebuyer, at least putting that on hold. You're hearing a team something similar and, you know, I guess just to reconfirm, that would really do to your business or what you have sort of baked in for the rest of this year.
Robert Sanchez: Yeah. So I would tell we haven't baked anything in for a pre-buy for this year. And as it relates to our business, we're not a dealer, so we wouldn't have a big spike in sales. What we would do is we would have an opportunity to sign more leases. Obviously would then over a period of time come in. So not a big impact in the near term. Either way. I think in the long term, we had talked about a pre-buy might create some uplift on used truck values. Maybe you know, three years out, four years out. Is what happened during the last big change. But I think it's important. That would have been that'd be nice if it happens, but it's not anything we're counting on. It's not anything that we put in our pricing for leases. And it's not anything that we've contemplated as we've laid out our long-term targets for our business, you know, our ROE or any of our earnings targets. So just wanna make sure we're clear on that. It would be gravy, I guess, if it happened long longer term for used truck sales.
Brian Ossenbeck: Okay. Appreciate that context. Thank you.
Operator: We'll go next to Harrison Bauer with Susquehanna.
Harrison Bauer: Great. Thanks for taking my question. Last quarter, you provided a pretty clear bridge on EPS to the top end of the range. You mentioned sort of qualitatively that the commercial rental segment was a big driver of the top end of that range declining. Is that the whole of the 35 cent decline on the top end of the range?
Robert Sanchez: Yes. That's a good way to look at it. It's basically if you think about that waterfall, that upside that we had on rentals were basically taking that away.
Harrison Bauer: Okay. Thanks for that clarification. Earnings
Robert Sanchez: I would just add the remaining contractual earnings expectations in that waterfall remain intact.
Harrison Bauer: Okay. Thank you for that. And then we're also seeing the spread between new and used vehicles sort of trend to an all-time high. How might you think that will flow through to your used vehicle pricing, particularly towards the second half of the year when you cycle through some of your older inventory and any sort of tailwinds you might see to that sort of entering 2026. Thank you.
Robert Sanchez: Yeah. I think as the new truck pricing has gone up, that creates lift for used truck pricing. And I think the used truck pricing again, we've been as you can see on that chart, we've been seeing that pricing come back down, getting down to kind of trough levels. Typically, in the marketplace, once you get to those levels, you see companies and sellers, if you will, start to look for ways of getting that pricing back up. So we're beginning to see that, I think, as the inventory of used equipment really starts to come down. That's where you start to see now more pricing. And again, we started seeing in the first quarter again, short of the aged inventory that we got out of, we saw tractor pricing really start to move up for the first time in I guess it's been a couple years. So that's a really good sign and something that we again, as we're sitting here in April, we're continuing to see that trend. We actually I should probably point out that we actually raised prices on sleeper tractors for the first time in the last couple of years this last month.
Harrison Bauer: Great. Thank you.
Operator: Thank you. At this time, there are no additional questions. I'd like to turn the call back over to Mr. Robert Sanchez for closing remarks.
Robert Sanchez: Okay. Well, thank you all for your interest in Ryder System, Inc. and look forward to speaking with you soon as we get out and into some of the conferences. Thank you.
Operator: That concludes today's conference. Thank you all for your participation.